Operator: Ladies and gentlemen, thank you for standing by. I'm your today's Chorus Call operator. Welcome and thank you for joining the National Bank of Greece conference call to present and discuss the Third Quarter 2023 Financial Results. At this time, I would like to turn the conference over to Mr. Pavlos Mylonas, CEO of National Bank of Greece. Mr. Mylonas, you may now proceed.
Pavlos Mylonas: Good morning, everyone. Welcome to our third quarter financial results call. I’m joined by Christos Christodoulou, the Group CFO; and Greg Papagrigoris, Group Head of IR. After my introductory remarks, Christos will go into more detail on our financial performance, and then we will turn to Q&A. I will begin with a brief overview of Greece’s positive economic environment, which has been facilitating our robust financial performance. Then I will turn to our third quarter results. So let’s begin. Economic recovery in Greece remains on a solid footing despite international headwinds, rising interest rates and the recent floods. Greece GDP has accelerated to 2.7% in the second quarter of 2023 and has been consistently outperforming the euro area for nine consecutive quarters and by a sizable margin recently. Additionally, leading indicators confirm Greece’s continued growth momentum with a full year GDP projected at 2.5% despite the weaker outlook for the euro area. This over performance is driven by the strong labor market conditions with supportive increases in real wages and employment. Solid corporate profitability at an 11-year high. A recovery in the real estate sector with prices in the residential sector up by 15% year-on-year. Very positive economic sentiment and a stable reform oriented political background setting the stage for substantial pickup in investment, both domestic and foreign. Only a small impact on output from the floods in the plains of Thessaly, about 0.5 percentage point of GDP in 2023 with a full payback in 2024. The recent upgrade of the Greek economy by SAP to investment grade status is a testament to the remarkable fiscal rebalancing of the country, as well as a hard-won gains in competitiveness achieved over a multi-year reform effort. In this positive economic environment combined with our ongoing four-year transformation project and our inherent comparative advantages, the bank’s performance has excelled. We have demonstrated notable P&L strength for yet another quarter capitalizing on our solid balance sheet. A few key points regarding the balance sheet and the P&L. Let me start with the balance sheet, in particular, our asset quality. In the third quarter, we experienced near zero net NPE inflows, which have been slowing since April. In fact, since the beginning of the year the cumulative net NPE formation is about €150 million comprising around one third of our initial full year expectations. This positive development influx of solid economic backdrop combined with the defensive nature of our loan book, including an old vintage mortgage book. With a reference to our legacy NPE exposure developments have been equally positive. We pushed forward faster, undertaking another transaction. This has led our domestic NPE ratio down to 3.6% in September, close to the NPE ratio target we had set for 2025 putting ourselves two years ahead of schedule. Our gross NPE exposure has been reduced to about €1 billion nearly all of which is covered by cash provisions. The other critical component of our balance sheet is our liquidity position. It comprises a large and stable demand deposit base, which provides a critical structural competitive advantage in the current interest rate environment, especially when combined with our mostly floating rate assets. For over, it comprises a large net cash position of €7.4 billion net of TLTRO repayments, which rose further in the third quarter. Moving on to our profitability performance. Our nine month results core PAT is €0.9 billion nearly – and it nearly fulfills our full year core PAT target for the billion. This development reflects strong core income growth up 60% year-on-year in the nine months, tightly controlled costs, up 3% year-on-year. Despite the inflationary environment and the implementation of our ambitious IT and digital transformation, which has already been paying large dividends to NBG in the form of improvements in efficiency as well as customer service. Near zero net formation that has allowed a normalization of the cost of risk to 65 basis points. Our NII momentum has been benefiting from the ECB base rate repricing to deliver the highest NII in the domestic market. Importantly, the impacts of rates has been complimented by accelerating corporate disbursements, driving our domestic PE loans up by €0.6 billion quarter-on-quarter. These developments allow us to confirm our PE expansion guidance, €1 billion to €1.5 billion for this year. And finally, fee activity was also robust up 15% on a like-for-like basis with promising results in the wealth management business, which has been an area of focus – of management focus. A good result in all key lines of the P&L has led our core return on tangible equity higher to nearly 18% in the nine month period on an annual basis, and 20.8% just in the third quarter, considerably higher than our guidance for over 15% for the full year 2023. Impressive profitability results have sustained core capital generation at very high levels. In the nine months we have generated 220 basis points of core capital, pushing our CET1 ratio to nearly 18% and to the total capital ratio to over 20%. In view of our over performance versus guidance, we’ll provide new guidance at the time of the full year results in early 2024. These will factor in the better than expected achievements and the improved outlook for NII among other things, including ECB remaining higher for longer. Furthermore, the solid results including in the stress test where our performance was at par with the top banks across Europe have led to lower regulatory capital requirements. Our capital strength and resilience acknowledged by the regulator and our high capital generation increase our strategic flexibility, including with regards to returning capital to our shareholders. Going forward, we intend to keep leveraging one, a supportive macro and banking environment; two, our inherit and distinguishing comparative advantages; and three, our transformation program, which altogether will keep distinguishing NBG to a widening degree. As additional evidence of the bank’s rapid change, I would like to draw your attention to our work on ESG, where we plan to be the market leader in driving the economy’s response to climate change and already lead the market in financing the renewables. Another important step we are proud of is to be the first bank in Greece to publish our CO2 reduction target for our financed emissions by sector for 2030. And with that, I would like to pass the floor to our Group CFO, Christos, who’ll provide additional insight to our financial performance, and then we will turn to Q&A. Christos?
Christos Christodoulou: Thank you, Pavlos. Let’s start with our performance highlights on Slide 16. The strong momentum of our profitability continued with group core profit after tax reaching €346 million in the third quarter of a year, up by a solid 20% quarter-on-quarter, reflecting sustained NII growth combining with cost discipline, and reassuring asset quality performance. As a result, the nine month 2023 group core profit after tax reached €0.9 billion, up three times year-on-year, nearly matching our full year 2023 implied target, while the nine month core return on tangible equity of 18% compares favorably to a full year target of over 15%. Turning to our balance sheet on Slide 17, disbursements current pace in the third quarter, driven by corporates nearly reaching €2 billion, driving domestic performing loans to €0.6 billion, higher quarter-on-quarter to €28 billion. Encouragingly momentum continues into Q4, supporting our full year 2023 net loan expansion target of €1 billion to €1.5 billion. Domestic deposits continue to grow rising by €1.1 billion year-to-date driven by retail while after netting off the residual TLTRO position and factory needs are positioning the interbank market as a net lender. Net cash increased by €0.5 billion quarter-on-quarter to €7.4 billion in Q3, supporting our NII and underlining our liquidity advantage. On asset quality, we’re pushing forward with our NPE stock reduction strategy with a cleanup transaction. As a result, our domestic NPE stock now stands at €1.1 billion, €0.6 billion lower in Q3, translating into a domestic NPE ratio of 3.6%, already nearing our 2025 target. Organic NPE flows settled a near zero level this quarter had a bit over €100 million year-to-date, significantly better than the full year 2023 expectation of approximately €350 million, allowing for the cost of risk of 66 basis points for the nine-month period. And with our coverage, our cost coverage reaching 94%. Moving to capital on Slide 18, our strong organic profitability keeps pushing our capital ratio significantly higher every quarter throughout 2023. CET1 ratio stood at 17.9% in Q3, up by another 60 basis points quarter-on-quarter and up by 220 basis points year-to-date, with total capital ratio reaching 20.3%, factoring in our €500 million Tier 2 issuance in September. On Slide 19, we present the structure of our Fortress balance sheet, highlighting a superior liquidity, best-in-class capital levels and a conservative asset based profile. Notably, the increases in ECB’s base rates have not affected our deposit mix materially with the small substitution effect fading away. Pricing elastic transactional demand deposit still comprise nearly 80% of our domestic deposit stock. Our liquidity profile continues to grow stronger with €7.4 billion of excess cash, a 57% loan-to-deposit ratio, and a 252% liquidity coverage ratio comparing favorably against top European peers. Now let me provide some further insight to the key drivers of our profitability. Net interest income remains on an upward trend as shown on Slide 21 with Group NII increasing by 6%, quarter-on-quarter at €588 million in Q3 steadily at the highest level of the sector. The sustained NII momentum mainly reflects base rate driven loan repricing as well as our leading net cash position are offsetting high deposit and wholesale funding costs. Lending yield was up by 30 basis points quarter-on-quarter to circa 6% in Q3, implying a pass through of over 70%. Term deposit costs reached 156 basis points in Q3 with new production coming in at circa 175 basis points in September, implying a beta of circa 45%, while total deposit beta remains low at 10%. All in all, our domestic net interest margin was up by 26 basis points quarter-on-quarter to circa 320 basis points in Q3, aligning with our full year guidance. The increasing rate environment has evidently benefited our balance sheet significantly. Despite the expectation of a higher-for-longer rate environment, we have been proactive examining structural hedging strategies going forward to look to some extent the current high yielding capacity of our balance sheet and contain mean erosion in the longer term after entering the interest rate downward cycle. Turning to Slide 26. Domestic fees increased by 17% year-on-year on a like-for-like basis, adjusting for the merchant acquiring deconsolidation on the back of retail and corporate banking businesses, driven by cards, deposit bundles, trade finance, and the successful introduction of new investment products in Q3. At the same time to switch [ph] of our customers to digital channel continues with e-banking transactions up by 16% year-on-year in Q3 and total transactions 9% higher year-on-year underlying the quality of our digital offering and the successful ongoing digital transformation of the bank. Moving on the next slide, cost discipline continues with personnel and general expenses up by just 1% year-on-year, despite inflationary pressures and collectively agreed wage increases. The increase in depreciation charges, as previously discussed, reflects our unique by domestic standards IT strategy, which entails our digital transformation in the ongoing replacement of our core banking systems. The core system replacement has already started there to bear fruit gradually allowing us to offer better customer service, improve time to market, and reduce maintenance cost at the same time. All in all, operating expenses were up by just 3% year-on-year in line with guidance driving a group cost-to-core income ratio for the nine months of 2023 down to 51% from 48% a year ago. Turning to asset quality on Slide 28 to 30, our accelerated inorganic efforts were complemented by near zero organic formation pushing NPEs down to €1.1 billion or just €0.1 billion net of provisions. Importantly, since the beginning of the year, the cumulative organic NPE formation is contained to about the third [ph] of our full year expectation. As a result, the domestic NPE ratio declined to 3.6% in Q3 2023 with NPE coverage [indiscernible] 94% and coverage across all stages, maintained at best-in-class levels as shown on Slide 30. On Slide 32 to 34, we provide a snapshot of key ESG priorities. We’re incorporating ESG in our business strategy and risk management leading the market in terms of renewable energy sources, financing and supporting the green transition of businesses and households. We are also market leaders in disclosing our emission targets for 2030 by sector in line with the net zero banking alliance. We have delivered a strong set of results for yet another quarter, driven by superior performance across all core lines as we continue to capitalize on our distinct balance sheet and our ongoing transformation. Core profitability has kept improving, translating into a core return on tangible equity of 18% well above our full year guidance, while our NPE ratio [indiscernible] years down the road. Our superior capital position continues to grow with a nine-month delta already fulfilling half of the three-year capital generation guidance of over 450 basis points. The solid performance underlines our strategic flexibility with regards to sustaining profitability, and most importantly supports our commitment to return capital to our shareholders. And with that, let’s now open the floor for questions.
Operator: The first question comes from the line of Sevim Mehmet with JPMorgan. Please go ahead.
Mehmet Sevim: Good morning. Thanks very much for the presentation and congratulations on the strong results. I’ll have a couple questions on NII please. So firstly just wanted to ask about the pace of growth. I think this is a question that we are now asking almost every quarter, but it’s still very strong. And just wanted to hear your views now from the third quarter onwards, how you see the development from here in the next few quarters? And where you expected to peak as you had I think signaled previously that you would’ve expected NII to peak in the third quarter? And I think you mentioned on the securities, but I just wanted to also ask about the structural hedges that you are thinking about now considering 2025 maybe when rates come down and how you’re willing to protect the NII base in the medium term. And finally just on the income statement, can I ask what the difference between the operating profit after taxes and the attributable part mainly comes from given it’s quite a large difference this time. Is this related to the NPE transaction that you did? Or are there any other one-offs this quarter that we should be taking into account? Thanks very much.
Pavlos Mylonas: Okay. Thank you for the questions. Pace of growth of NII it is going to be peaking soon, whether it’s Q4 or early 2024 it is to be seen. There is still the – what all the carry from the last rate hikes, which haven’t yet fed through the – for full quarter which is a positive. We have increase in the balance sheet loans as well as deposits which are another positive. Then you have a few negatives. We have the MREL that we added the Tier 2, which will have a full quarter effect. We have the impact of the MRR which is for European banks implemented the [indiscernible] on reserves. And you may have a little bit further shift on the spreads, though that seems to be weakening both the loan spread compression will continue to as much lower degree as we have seen, as well as the slight movement of the beta on deposits though that seems to be also waning. So those are the moving parts. I think it’s fair to say that NII growth will be slowing and peaking probably in the first quarter of 2024. Now, on structural hedges, I think most European banks due to the interstate environment are implementing structural hedges. We are as well. It depends on what you're hedging and I think most banks are moving to their deposits and I think our deposit base allows us to do more than others. Now we haven't yet formulated it, and I think the – what we will do will be clarified at the time of the full-year results when we give you guidance. And then on the last point you had, I'll turn to Christos for the answer.
Christos Christodoulou: Hi Mehmet. So effectively there are two items that breach our group core profit with [indiscernible]. The first one has to do with one of [indiscernible] we had in Q3 for flats, about 12 million to 15 million. And as you rightly pointed out the other element is we've taken some loss provisions for the cleaner transaction that implemented in this quarter. We started to implement at least. So it's about 60 million, so that's the biggest chunk of the two, one that we had. The portfolio is in the area in terms of GBV of about 0.6 billion. It's mostly resi's 60% resi's, 30% SBs and corporate and about 10% consumer. Obviously once this transaction is completed, we expect to have some release and some gaining caveat from the release of the risk related assets, but let's wait and see. So that's the two items that are tied the two numbers.
Mehmet Sevim: Okay, that's very clear. Thanks very much.
Operator: The next question comes from the line of Iqbal Nida with Morgan Stanley. Please go ahead.
Nida Iqbal: Hi. Thank you for the presentation and congratulations on a great set of results. My first question is about loan growth. Given the high interest rate environment that we are in currently, do you see a risk of a slowdown in loan growth in 2024? And secondly my second question is about the deployment of excess capital. If you could please shed some more light on the different options that management is considering. Is M&A or international expansion on the cards? And then on the dividend side, could pay out be much higher than the 20% to 30% that's currently expected by the market? Thank you.
Christos Christodoulou: Okay. On the loan growth I think the short answer is we don't expect to slow down. And I think the reason is the strength of the economy and the profitability of the corporate sector, that's the key driver for loan growth. As I mentioned in my introductory remarks, profitability on the corporate side is extremely high. They have a large set of projects in the pipeline. We are discussing with them financing these projects, so the corporate side of the bank is quite confident about a large and maybe even accelerating pipeline of projects. Also, I'm a bit more constant than I used to be on the retail side. You're seeing a high increase in residential resi prices. There's a dis-equilibrium there. I think you're going to see far more investment and increase in supply of residential investments of residential residencies and therefore more loan growth on the retail side. So I'm relatively confident on long growth going into 2024. Now, excess capital, clearly it's there. We are very confident about expanding in Greece credit expansion, organic growth in Greece, also including the assets and the services, which will be coming back to the bank slowly. We're clearly intending to increase shareholder remuneration. We will start with a payout ratio 20 to 30, I think, for next year based on the 2023 profits. But we would like to increase that gradually. We also are looking positively at share buybacks. So those are two forms of return and capital shareholders that we are looking at quite seriously. So those are the two ways of using the excess capital.
Nida Iqbal: Thank you very much. Very clear.
Operator: The next question comes from the line of Robert Brzoza with Pko BP Securities. Please go ahead.
Robert Brzoza: Hello everyone. Thanks for the presentation and congrats on the results. I have two quick questions. First, a follow up on the negative one-off you incurred in the quarter. Did I understand correctly that this part of the 60 million could be released again in the future? And second, on your 2025 outlook you, in your presentation you stated this could be updated upon the release of annual results. May I ask where potentially the – this update would be coming from? Is it a different interest rate expectations or better outlook for volumes or is it another factor that you need to consider now? Thank you.
Christos Christodoulou: Okay. I think the first one, and then Pavlos will address the second question. Now, let me clarify that again. The 60 million has to do with the acceleration that if done the cleanup and the provisions that we've undertook, considering that we are running this portfolio under the transaction. What I said is that going forward we'll get the relief in capital from the recognition of the [indiscernible]. That's the – that's the two elements, the two drivers of this transactions that will end up being I would say, capital neutral at the end of the day. Pavlos?
Pavlos Mylonas: Okay. The new guidance would involve clearly the ECB is higher, higher for longer. That's one main driver. We will – we have no plans to change our guidance on the asset growth. I think that's stays where it is. We will – we have the better than expected pass through for interest rates. The beta – the well known beta and the pass through loans are better than expected. So I think those are the – and the final point, I guess is the – the better asset quality. We had expected that the increase in rates to lead to some deterioration in the asset quality, and clearly that is going to be significantly better than expected. So I think those are the three main drivers along with the hedging that will impact our guidance.
Robert Brzoza: Understood. Many thanks.
Operator: The next question comes from the line of Osman Memisoglu with Ambrosia Capital. Please go ahead.
Osman Memisoglu: Good morning. Many thanks for your time and presentation. Just wanted to go back to the NII discussion and in particular the shift-to-time deposits is been quite impressive for you guys with only very gradual shift-to-time. Just wondering how you're thinking about this these days with the latest developments on ECB side? Do you expect any pickup or slow down or where do you expect this time deposit mix for you at the terminal rate and when? Thank you.
Christos Christodoulou: Okay. I think we're discussing this every quarter. So we are now still at the, let's say 2018 mark. Our forecasts were to land to about 25% of term deposits by the end of the year. It could come slightly better. We've seen that there hasn't been any, any further change in the mix let's say by end of October, so slightly better than originally expected. No 2024, it's a longer time away. Let's see how this year concludes and we will be changing our view and guidance on the end of 2024 deposit mix when we give overall guidance on the business plan numbers at the end of – with the end of the year results in early March. But so far, it still looks very strong and even stronger than we expected even in the summer.
Osman Memisoglu: Understood. Thank you.
Operator: The next question comes from the line of David Daniel with Autonomous Research. Please go ahead.
David Daniel: Good morning all. Congrats on the results. I’ve just got a quick couple on the debt side. You’re in a really strong MREL position. Just wondering if you’ve got any ambitions to bring forward the data, which you hit the end state target. So could 2026 target come forward by a year just to show your strength in that position? And then also noting your recent Tier 2, just thinking about issuance next year, is 81 [ph] potentially on the cards. I guess just thinking as you distribute some of the excess capital that you have and look to normalize that capital structure, could we think about 81 next year or should we just, just believe it’s kind of senior preferred to come? Thanks.
Pavlos Mylonas: Okay. So as you can see in our presentation currently our MREL ratio stands very strong. It’s at 24.5%. The target for the January – for January, 2024, it’s at 22.7%. So we’re nearly two percentage point up compared to this year target actually, we’re almost meeting the target for the January, 2025. Now, we want to be always proactive and be, let’s say, ahead of what we have to do and organic capital generation has given us and will be giving us a lot of flexibility. So maybe one, some years, maybe two issuances going forward to completion, to meeting the final target of about 27%. Currently what we have in the pipeline is our Tier 2 that is coming to date in 2024. That’s the priority. And to, to be specific to my answer to your question on 81, currently, it is not part of our plans. Obviously, we are quite rich in terms of CET1 capital, so it’s not a priority for us to go with an 81 at least based on the current plans that we have.
David Daniel: Thanks a lot.
Operator: The next question comes from the line of Butkov Mikhail with Goldman Sachs. Please go ahead.
Butkov Mikhail: Good day. Thank you very much for the presentation, I have three questions. Firstly on NII they were already provided comments on that, but it feels like that in previous calls the outlook was that quarter number three can be the quarter of the peak in NII, but now it seems that we speak about the quarter number four or the beginning of next year. What’s, changed since that time? And then the second question is on the recent S&P upgrade, do you see any positive implications from that for the risk weighted advantages and maybe you could quantify that? And finally on as a follow up on excess capital, could you consider an accelerated DTC depreciation given that you have high levels of capital as also an opportunity for capital deployment? Thank you.
Pavlos Mylonas: I’ll start with the S&P. I think the most important implication of the upgrade is the aid signal about the strength of the economy. Two, there’s a technical aspect, where lots of capital that by their statutes [ph] could not invest in something that was done investment grade, now is free to do so. So, I think that’s the second important thing. And then we go to the direct impact on the bank, which there could be some release on risk related assets from the upgrade of corporates or loans. And then maybe, some lower funding costs on the MREL. So, I think the more important is the – are the in-direct impact rather than direct. Now, Chris, do you want to take the other?
Christos Christodoulou: Yes, of course. Now, on NII indeed, the previous calls, we said that we expected that the peak in our NII somewhere between Q3 and Q4. What has changed and our bias now, even for the marginal increase, let’s say, is towards Q4 has to do with the fact that two elements, actually. First of all, it’s the fact that ECB rates came up by 25 basis points higher than what we have guided previously in our forecast disaster presentation. And obviously the, the high for longer also plays a key part on the liquidity curve, let’s say, affecting also NII going forward that, so that’s on the NII. With regards to DTC, as you very well know, we have a linear approach towards amortizing DTCs. We’re quite comfortable with the way DTC unfolds year-after-year as a share of our capital. And now if there is a systemic initiative for a change in the way that the banks are approaching DTC, we’ll be more than happy to enter into such discussions. But currently, there is no plan for change in the way that we treat this.
Butkov Mikhail: Okay. Okay. Thank you. Thank you very much for the answers.
Operator: The next question comes from the line of Nigro Alberto with Mediobanca. Please go ahead.
Alberto Nigro: Yes, thanks for taking my questions. The first one is a technical one, or risk with assets evolution in the quarter. If I look at total risk weighted asset, they are flat Q-on-Q. While in the slide, you are pointing to a 20 basis point, lower capital from higher credit risk with our assets. The second one is on NPE clean-up, if you expect any other transaction in the near future, and what could be the impact to P&L? And final one on digital euro. What do you see as a risk opportunities for digital euro implementation of your budget, the impact to your business model, and can you share it with us? Thank you so much.
Christos Christodoulou: Okay. Thanks for the questions. I’ll take the first two. So with regard to risk weighted asset despite the growth and the crazies [ph] with the data increase, we had the kind of neutral risk weighted asset position that’s driven by market risk resulted in Q3, which decreased by about €0.5 billion. And that’s due to the reduction on our NBGs relative VAR, which is driven by the increase of the 12 month market volatility, so its market risk weighted asset driven. Now to your second question, whether we expect any additional clean-up transactions, I would say not at this point in time, as you very well have seen NPEs are not down to just a €1 billion. We only, would go to bilateral deals going forward, restructurings going forward, and that’s about it. We’ve reached to the level that it might not be worth it to go to a big transaction. And for the digital euro, I’ll turn the, the floor to Pavlos.
Pavlos Mylonas: It is something that is coming we’re not sure when. I don’t think it’s going to be very quick. It will clearly present challenges, but it’ll also present opportunities. And I think for a country like Greece, the opportunities may be higher than elsewhere, given the predominance of cash. And this is clearly, an incentive to use. The digital currency will be less cash, and that means more official economy, more economy, more of the economy goes to the banks. So that’s the opportunity clearly where the little bit of sticky wicket will be what happens to fees. Okay. And there I think there is at this stage not clear view on what the impact on our fees would be. So that – those are the, I think the two sides, but I think that it’s an opportunity, but we need to see what would happen to deposit fees and transaction fees from this, which at this stage, I certainly don’t have a clear view.
Alberto Nigro: Thank you.
Operator: Ladies and gentlemen, there are no further questions at this time. I will now turn the conference over to Mr. Mylonas for any closing comments. Thank you.
Pavlos Mylonas: Thank you all for joining us on this call. We’re available for any further questions you may have on the results on the presentations. We’ll be traveling to various scheduled conferences down the month. So hope to see you in person there, or if not in video conferences. So thank you all.